Operator: Good morning, ladies and gentlemen. Welcome to the Verona Pharma fourth quarter and full year 2024 financial results and conference call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question and answer session. If at any time during this call you require immediate assistance, please press star zero for the operator. This call is being recorded on Thursday, February 27, 2025. I would now like to turn the conference over to David Zaccardelli, Chief Executive Officer. Please go ahead.
David Zaccardelli: Thank you, and welcome everyone to today's call. During the past quarter, we achieved remarkable progress with the launch of OTIVER, along with advancing our development programs and look forward to updating you today. With me are Mark Hahn, our Chief Financial Officer, Dr. Kathy Rickard, our Chief Medical Officer, Chris Martin, our Chief Commercial Officer, and Dr. Tara Rheault, our Chief Development Officer. 2024 was another transformational year for Verona Pharma. With the US FDA approval and commercial launch of O2VARE for the maintenance treatment of COPD. 2024 was also an important year for millions of patients suffering from COPD as O2VARE is the first inhaled therapy with a novel mechanism of action available for COPD in over twenty years. In addition to the outstanding launch, which I'll walk through in a moment, we progressed our Phase 2 pipeline programs in COPD and bronchiectasis and have made key advances in our global partnering and regulatory strategy. First, let's review the initial launch of O2VARE, which is grounded in its broad indication for the maintenance treatment of COPD, and its compelling benefit to risk profile. In the first full quarter of commercial availability, net sales of O2VARE were $36.6 million in the fourth quarter and $42.3 million for the full year 2024. We are very pleased to report the extremely strong initial launch continues to build momentum with more prescriptions dispensed in the first two months of Q1 2025 than in Q4 2024. Additionally, we saw month-over-month growth in dispensed prescriptions, new patient starts, and refills. These early launch results are remarkable and support our belief that O2VARE can become a blockbuster product. We continue to strengthen our prescriber base with over 4,600 unique HCPs prescribing O2VARE, including approximately 55% of our 2,500 tier one HCPs. We continue to see HCPs expanding their specifically over 275 HCPs have now prescribed O2VARE to more than 20 patients in their practice. We continue to be very encouraged by the breadth and depth of prescribers and prescription metrics. In addition to these impressive key launch metrics, we see HCPs are continuing to prescribe O2VARE across a broad range of COPD patients, including patients on background single, dual, and approximately 50% on triple therapy. Fifth utilization across all patient types strengthens our belief that O2VARE's novel bronchodilator and non-steroidal anti-inflammatory activity can redefine the treatment paradigm for COPD. Feedback from both patients and healthcare providers about the meaningful impact of O2VARE is extremely encouraging and is also supported by our continued refill and persistency data, including patients receiving over five refills. Alongside our successful O2VARE launch, we have continued to advance our pipeline with two Phase 2 clinical programs. Following the end of the year, we successfully completed our Phase 2 dose-ranging clinical trial with glycopyrrolate ALAMA, to support a fixed-dose combination with nebulized ensifentrine, for the maintenance treatment of COPD. This study confirmed the appropriate dose range of nebulized glycopyrrolate to support further clinical development of the fixed-dose combination. We plan to initiate a dose-ranging Phase 2b trial evaluating a fixed-dose combination of ensifentrine with glycopyrrolate, compared to the individual components in the second half of 2025. In addition, enrollment continues in our Phase 2 trial to assess nebulized ensifentrine in patients with bronchiectasis. The randomized double-blind placebo-controlled parallel group trial will enroll 180 subjects with a recent history of pulmonary exacerbations. The study will assess the effect of ensifentrine three milligrams twice daily on the rate and risk of pulmonary exacerbations, symptoms, and quality of life. Finally, turning to our global strategy, Nuance Pharma, our development partner for ensifentrine in Greater China, recently announced the approval of O2VARE in Macau for the maintenance treatment of COPD in adult patients, marking the first approval of O2VARE outside the US. This is an important step in our mission to address the needs of millions of patients across the globe still experiencing persistent COPD symptoms despite current therapies. Nuance Pharma also announced it has completed enrollment in its pivotal Phase 3 clinical trial in China to evaluate ensifentrine for the maintenance treatment of COPD and expects to provide results in mid-2025. And finally, we are also initiating activities with regulatory authorities in preparation for potential marketing authorization application submissions in the European Union and the United Kingdom. We look forward to updating you on this progress. I will now turn the call over to Mark to review our financial results for Q4, and full year 2024.
Mark Hahn: Good morning. The fourth quarter was monumental for Verona Pharma as we recorded $36.6 million in O2VARE sales in the first full quarter of sales. For the year ended December 31, 2024, net O2VARE sales were $42.3 million. Our specialty pharmacy partners continue to maintain inventory at their contracted levels of two to three weeks. Cost of O2VARE sales was $2 million for the quarter ended December 31, and $2.6 million for the year. These costs include post-approval manufacturing costs, inventory overhead costs, and royalties. Recall that O2VARE was approved in June 2024 and prior to receiving FDA approval, costs associated with the manufacture of O2VARE were expensed as R&D expenses. Research and development costs were $7.9 million for the quarter ended December 31, 2024, compared to $4.1 million reported for the fourth quarter of 2023, and $44.6 million for the year ended December 31, 2024, compared to $17.2 million reported for 2023. The increase across the annual period was primarily due to increases in clinical trial and other development costs related to the initiation of two Phase 2 trials, of $17.5 million, the $6.3 million approval milestone, an increase in share-based compensation of $3.1 billion, and increases in people-related costs and pre-approval manufacturing costs. Selling, general, and administrative expenses were $45.1 million for the quarter ended December 31, 2024, compared to $15 million reported for the same period in 2023, and $149.8 million for the year ended December 31, 2024, compared to $50.4 million for 2023. The increase across the annual period was primarily due to a $29.7 million increase in marketing and other commercial-related activities supporting the launch of O2VARE, the $15 million first sale milestone, a $26.8 million increase in people-related costs, as we built out our commercial organization, and an $18.8 million increase in share-based compensation. For the quarter ended December 31, 2024, net loss after tax was $33.8 million compared to a net loss after tax of $14.1 million for the same period in 2023, and $173.4 million for the year ended December 31, 2024, compared to $54.4 million for the prior year. This represents a loss of $0.05 per ordinary share or $0.41 per ADS for the quarter, compared to a loss of $0.02 per ordinary share or $0.18 per ADS for the fourth quarter of 2023, and a loss of $0.27 per ordinary share or $2.13 per ADS for the year, compared to a loss of $0.09 per ordinary share or $0.69 per ADS in 2023. Finally, our balance sheet remains strong, with $400 million in cash and equivalents as of December 31, 2024. In addition, we have access to up to $425 million of additional capital through the Oak Creek facility. I'll now turn the call back over to the operator for the Q&A.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. Followed by the number one on your touch-tone phone. You will hear a prompt that your hand has been raised. Should you wish to decline from the polling process, please press the star followed by the number two. If you are using a speakerphone, please lift the handset before pressing any. The first question comes from Andrew Tsai with Jefferies. Please go ahead.
Andrew Tsai: Hi. Thanks. Good morning. Congrats on all the progress. It's just pretty awesome to see, yeah, the launch progressing nicely. So my first question is the volume trends clearly look very healthy. So maybe a question on the pricing side as it relates to sales cadence. Can you just help us level set expectations for when you report Q1 EPS next? Can you help us somehow quantify how much impact there could be to sales with the insurance resets and deductibles that typically in just to be clear, is it the gross to net that gets affected? And if so, by how much? Or is it the filled prescription side as well? Thank you.
David Zaccardelli: Hi. Good morning, Andrew. Thank you for the question. I'll turn it over to Mark and provide his thoughts on that dynamic and gross to net.
Mark Hahn: Yeah. I'll talk about the gross to net, Andrew, and then Chris can talk about what he sees from a fill perspective, but from a gross to net, the real thing that you would see impacting it would be related to commercial co-pay assistance. You know, if more of the commercial patients have their high deductibles, you could see a higher amount of co-pay assistance going to them. However, as you know, the commercial pay the commercial patients are a very small portion of total total shipment. So I don't think if anything, it won't have much of an impact on gross to net in Q1. But Chris can talk about the fills.
Chris Martin: Yeah, Andrew, thanks for the question. As far as the fills, I think as we've stated before, we're we, at the beginning of the year, you know, subject to deductible resets just like every other brand, that works through the Medicare sector or our line of business. I think what we've also said is that we believe very strongly that the momentum of the launch outweighs any potential deductible resets that many of these patients may have. Remember, we're still nominally in, you know, the second full quarter, of launch. And our expectation is that you would expect to continue to see increasing new patients, new refills, and total dispenses with patients that have Medicare Advantage and high deductible plans. But, again, I believe that's very strongly that the momentum of the initial launch kinda is going to outweigh some of those early macro dynamics that every brand faces at the beginning of the year.
Andrew Tsai: Yep. Very good. And maybe I'll try to ask is, how do you guys feel about 2025 consensus, which is about $254 million. And is it fair to assume you could break even this year?
Mark Hahn: Well, I well, let me start with the breakeven. Portion. You know, I've been talking about for a long time now that I think a company like Verona with a single asset small sales a relatively small sales team, very focused team, and a and and no real discovery engines or R&D overhead. Can get to a cash flow breakeven. Cash flow breakeven, maybe not profitability breakeven, but cash flow breakeven at a run rate a quarterly run rate that gets you to a $250 to $300 million annual rate. Probably closer to the $300 than the $250 actually. But I think that's where you could get. So, yeah, those numbers are right. I think we could be in that in that rate in that rate by the end of the year.
David Zaccardelli: Okay. Yeah. And I think you know, Andrew, I mean, yeah. I think with regard to consensus, as you know, we don't really comment on it directly, but I think everyone can see the trajectory is increasing. We're very confident in the uptake of O2VARE. The unmet need is out there. The number of patients. And so I think we're very you know, excited about the opportunity as as 2025 unfolds. And and clearly, you can see the momentum this early in the first quarter.
Andrew Tsai: Thank you very much. Congrats again.
David Zaccardelli: Thanks.
Operator: Thank you. The next question comes from Yasmeen Rahimi from Piper Sandler. Please go ahead.
Yasmeen Rahimi: Good morning, team, and congrats on really an incredible launch. I guess the first question that I have is one that we all analysts are getting from many of our clients. I wanna more on it is given that outstanding launch, what are some of the headwinds that could be headed our direction? What are some of the risks that we're not foreseeing or anything that could happen. And and I would love you know, like, I guess, you know, what are the things that's keeping you guys up at night because you know, the growth chart looks beautiful. That's sort of one. And question number two is around your thoughts around Europe. European filing. Help us understand, like, what is the market opportunity in I think, the UK and select countries. I think in the past pricing is substantially lower. And you're up, like, what what what led to wanting to really pursue that and how do we think about so that the opportunity there. And and also I guess, the cost needed to build out a Salesforce. Appreciate sorry. Multi-part question around that. So thank you.
David Zaccardelli: Sure. Thanks. Thanks for the question. Yes. Good morning. I think, you know, in addressing the headwinds comment, you know, we're very, you know, optimistic clearly that the unmet need is there and has been demonstrated in COPD. We we knew that before we launched. That's playing out as the launch has unfolded. And there is really a large number of patients, you know, in the millions that are currently symptomatic on current or standard of care. So we are launching into you know, an indication with a broad label in a patient population with great unmet need. So we don't see really that there is, you know, a level of patience being maxed out or tapped out or or accessed. And this is merely sure. This needing to address them in the normal cadence of how they see physicians and how they handle their medical care. As you can see, the expanse and the breadth and depth of prescribing continues now with over 4,600 unique ACP prescribers you know, approximately 55% of the tier one targeted prescribers are are prescribing already. I think that shows you of the the the end up need for O2VARE and for helping patients who remain symptomatic. So we expect that to continue. There are, you know, clearly, in our target list, you know, 14,500 HCPs. And, of course, all the HCPs that surround those in the different offices, and so we see an expanding opportunity continually to, you know, get to more prescribers and help more patients. And so from a market dynamic standpoint, from a patient, from an unmet need, we really don't see any any specific headwinds. From a competition perspective, again, in any time frame that of of of that foreseeable future, we don't see anything that looks like O2VARE. A bronchodilator and a nonspecial steroidal anti-inflammatory. So I think that that fits extremely well with helping these patients. And then, you know, I think the things that we always have to attend to that never get you maybe as much attention is you know, running a pharmaceutical business has a lot of tests that have to be handled to manage risk. You have to make product. You have to release product. You have to make sure that you're doing all the regulatory requirements around you know, commercializing the product properly. So we we we work on execution underlying all the activities, and and clearly that is an inherent risk to the pharmaceutical business and something that we can never you know, pay enough attention to. We always do, and and that's something that we work on every day as well. But I put that on just to continue to execution for a pharmaceutical business. So I think, again, very very optimistic on the market as we go through 2025 for sure. As far as European filing, just to make sure we understand, we we still don't plan to start operations in Europe. What we're doing is advancing the regulatory process in Europe. As you know, that takes some time to get through. And as we go through 2025, I think we'll get greater clarity on our strategy in Europe from a regulatory perspective. From a filing timeline. And then I think that feeds very well into our partnering conversations in Europe, which is still our strategy. And we have the capability and the talent and and the people in order to advance the regulatory aspect of the filings, both in in the European Union and in the UK. And as we do that, we'll concurrently work with our partner and strategy. So I expect them to come together, especially as we walk 2025.
Yasmeen Rahimi: Thank you so much.
David Zaccardelli: Right. Thank you.
Operator: The next question comes from Tiago Fauth with Wells Fargo. Please go ahead.
Tiago Fauth: Hey. Thanks for taking the question, and congrats on the progress. We've been getting a couple of questions on duration of therapy because that's a key key toggle for average revenue per patient here. In our channel checks, we're not really hearing a lot about potential discontinuations and while while still early, curious how to think about average duration. Like, is is there upside to that six months average duration? Is assumption? How can we think about that?
David Zaccardelli: Thanks. Yeah. No. Hi, Tiago. Thanks. Good morning. So yeah, I I think that in our in our modeling and how we've described it, we use sort of the benchmark of typical, COPD drugs. That are their normal persistence and and use over the year, and that has been based on around six refills per year. As you know, the way we distribute O2VARE through a special pharmacy network and the ability to track the patients very carefully and support them through the special pharmacy, we think that there is some upside to that, and it is very early though to actually characterize that. We are encouraged by the refills. I think that comes from the fact that O2VARE is of course, helping patients. And, and the refills again, very early yet because, of course, the the most refills, as we talk about, patients now receiving over five refills already. But, of course, it's from earlier patients that started in in the first part of the launch in 2024. So as we get through 2025, we'll have, of course, a greater number of patients, more refilled information to look at, but, yes, we're very encouraged by where we are right now. And and, yes, we we do think there is upside to the six refills per year.
Tiago Fauth: Fair enough. Thanks again for taking the question.
Operator: Thanks. Thank you. The next question comes from Tom Shrader with BTIG. Please go ahead.
Tom Shrader: Good morning. Congratulations. I was trying to get up the nerve to ask the breakeven question. After one quarter. So thank you for asking. I have a couple of surveillance questions. Any common themes in the forty-five percent who are not prescribing the drug? Are there any structural things you're are working on? And then the nebulizer. How big a deal is the nebulizer? This is really a peak sales question. Are are you building into patients that have a nebulizer? Or is there are there significant numbers of patients who are adding a nebulizer to add to Thank you.
Chris Martin: Thanks, Tom, for the question. Let's let's start with the the forty-five percent that haven't ridden yet. I I wanna focus on the or the other side of the or the number of writers that we have to date I mean, to have over 4,600 riders nominally in the second core full quarter of launch is an incredible start. And I think highlights what we saw in market research of the unmet need and the profile of O2VARE. What you see today is typical launch dynamics of early adopters, and late adopters. And I think that's that's the dynamic that you face. There's no specific trends, except for their adoption characteristics of these physicians. I think one of the things that keep us very encouraged and excited about the future of O2VARE is when we do market research on physicians that have ridden and those that haven't ridden yet, all doctors see the benefits of O2VARE in the with the profile and the potential in their patients they also talk about how they would start writing within the next three, six, twelve months. So I think when we look at our market research, we understand that our writer base will continue to grow and we will continue to penetrate these doctors that haven't ridden so far because of the profile of O2VARE. As far as the nebulizer, I think this is something that we got as a question very early on of can this drug will people use a nebulized drug? And our hypothesis going into this was that innovation would trump Radavitin early stages of launch or this early part of launch. In fact, when we look at our data, we have we have patients that don't have a nebulizer, patients that do have a nebulizer, and the core underlying feature that the doctors are prescribing O2VARE is is around persistent symptoms, and route of administration has become kind of a nonissue. It's not something that comes up from the field perspective with the doctors. It's not something that comes up with patients. In fact, many patients talk about how nebulizer is a comforting way to deliver their product because they know it gets to their lungs. So I think that's been something early in launch that I think has been dispelled, and and it really showcase the innovation that O2VARE is bringing to the COPD marketplace.
Tom Shrader: Great. Thank you.
David Zaccardelli: Thank you. The next question comes from Raghuram Selvaraju with HCW. Please go ahead.
Raghuram Selvaraju: Thanks so much for taking my questions and congrats really on the phenomenal progress with the launch. It's really very impressive. Firstly, I wanted to ask whether you see any underlying market dynamic trends emerging with respect to prescriber preferences regarding the deployment of O2VARE. Especially now that we've gotten a little bit further into the commercial trajectory. And in particular, you know, if you can comment on whether you expect the proportion of patients on O2VARE who are also receiving try therapy to increase over time or remain constant. And then also with respect to the ex-US picture, was just wondering if there are territories beyond EU and Greater China that you believe are likely to be particularly lucrative for ensifentrine and what your strategic plans are to target those territories. And if you could also perhaps comment on the pricing situation in Greater China what the pricing dynamics look like in Macau, you know, now that the product has been approved there. Just so we can get a bit of a handle on what performance Nuance might be able to realize with the drug once it's available. Thank you.
David Zaccardelli: Not a problem. Well, well, there's a lot to unpack there. So let me let let me start sort of near the the back of that question list, and we'll work our way through it. It you know, our strategy is still, of course, to partner outside the US as we have already, as you mentioned in in Greater China. I think the other regions are all important in their own way, clearly incremental and in totality are very significant in the growth of for O2VARE on a global basis. Other regions again, outside Europe, Greater China, but you know, even in Japan, in other parts of Asia as well. And, of course, the other emerging markets South America, all become incremental and are important. Now I've been always saying that there was nothing more important than having a successful launch in the US, which we continue to execute on. And that's what we'll continue to focus for sure. But we'll we'll we'll carry on with the strategy for in in 2025 in partnering. And as I mentioned, we're already starting that in more, you know, a progressive state by by working with the regulatory authorities in in Europe and the UK. And maybe I'll I'll turn it over to to Chris to talk about, sort of the the dynamic the market dynamics and how that has been you know, what we've seen balanced on what we did in market research.
Chris Martin: Thanks, Dave. I you know, when we look at, you know, the patients and what's the consist theme about who's getting prescribed O2VARE, it's it goes back to some very simple kinda truth. These patients all have all have persistent symptoms. Particularly dyspnea, and that's a very big trigger for the physician to add or change therapies within these patients. So when our reps go into these offices, they're they're it's not about what the background therapy is. It's more about what is the patient dealing with today in regards to persistent symptoms, either dyspnea, decreasing activities, and how O2VARE could potentially help with these patients over time. Know, the other thing that think we're very encouraged by is as Dave talked about in his opening comments, which is fifty percent of our patients are on therapies that are not considered triples. So either single bronchodilator or dual bronchodilator a LAB ICS, or no long acting bronchodilator. I think this is going to increase over time. As we've heard from physicians and research and seen from our interactions in the field, doctors are looking for another mechanism and another way to provide bronchodial nonsteroidal anti-inflammatory effects that don't involve using steroids. So I believe over time, the addition to triple will potentially become less than the addition to earlier lines of therapies for these patients. As they look to move ICS into maybe a more appropriate place than it is used today. It really talks about the long term potential of O2VARE, not only in its current form, but potentially as a combination product as as Dave has mentioned in his his comments earlier about our pipeline expansion. So I really feel like that's that's a great opportunity as we move through twenty five and into twenty six as well.
Raghuram Selvaraju: Thank you very much.
Operator: Thank you. The next question comes from Joon Lee from Truist. Please go ahead.
Joon Lee: Thanks for the update then, for taking our questions. Yeah. We spoke with several pulmonologists, and there seems to be a wide range of prescription reimbursement rates ranging from, you know, over ninety percent to less than half for some pulmonologist. Could you help us understand some of the pushes and pulls reimbursement and what you are doing to improve this. And just a classification question on European partnership. Is it your plan to have some callback clause like the one you have in Nuance? In case someone else may merge that may want the the global rights? Thank you.
David Zaccardelli: Hi, Joon. Good morning. Yeah. Thanks for the question. Let me start with the last one, and then I'll turn it over to Chris. Well, I think we'll have to see how our partnership discussions go. As you as you know, we're also looking for a partner that may have a broader base of capabilities with regard to development of MDI, DPI, manufacturing of the drug product, manufacturing of DPI and MDI. So there may be other, attributes of the partnership that, are are quite different than the one we have with Nuance Pharma. At the moment. So we'll we'll see how that looks as we as we continue. But we understand your point. And, clearly, we we always wanna make sure we do the best for O2VARE and our shareholders in kind of structured deal that we do. With that, I'll I'll turn it over to Chris.
Chris Martin: Yeah. Joon, as far as reimbursement, I think we've been very pleased with how the reimbursement we we we anticipated about eighty percent of our reimbursement or claims would fall under a medical benefit. Either under Medicare Part B or Medicare Advantage, and and that's that's holding consistent as we go into these launches. I think one of the things that I always have talked about is that, we have access in those channels, meaning patients can get a there's no prior auth. There's no real step at it. There's a there's access to O2VARE in those channels. What it becomes is an out of pocket cost for patients. If a patient has supplemental insurance, we see their co-pays are usually less than ten dollars if a patient met their deductible in Medicare Advantage, their co-pays less than ten dollars or even nothing. And and so that's the driver of potentially reimbursement. It's not necessarily access. It's more of an out of pocket cost. Within the Medicare side, we we cannot provide any assistance to patients within Medicare, so they really have to work through their deductibles or have some supplemental insurance. On the commercial side, we have robust co-pay card programs and and provide that to patients. Additionally, we've created other services with including patient assistance programs for patients that are low income that they can get this product through that process as well. But I would say within these first two quarters, not normally first two quarters of launch, we are we are very encouraged by the way reimbursement and access is presenting itself and more importantly, when it comes when we get a patient on drug, we're seeing many of these patients the vast majority, I would say, over eighty percent of them having co-pays less than ten dollars as well.
Joon Lee: Thank you.
Operator: Thank you. The next question comes from Boobalan Pachaiyappan. Liz Ross. Please go ahead.
Boobalan Pachaiyappan: Good morning, Tim. Can you hear me okay?
David Zaccardelli: Yes. Good morning.
Boobalan Pachaiyappan: Hi. Okay. Thanks for that. So I just have a couple of questions. So one of them focusing on the refill process. So as more and more patients are going for refill, so I'm wondering, you know, how does that process work in the real world setting? So do patients have to take, like, spirochetes or anything just to, you know, make sure they are getting some benefit in terms of when they take the drug or when they call the doctor asking for prescription, or when the doctor asks to know what kind of symptom improvements are you seeing, so are there specific symptoms that get improved with O2VARE usage? That's the first one. And the second, are there any side effect profile, especially the ones that are listed in the FDA label, are physicians seeing any of those, you know, including the including the psychiatric events that are listed in the label. Are there any instances of those side effects, you know, recurring in these patients in real world?
David Zaccardelli: Great. Hi. Boobalan. Maybe I'll I'll turn it over to to Chris to start with the the refill process and and how that goes.
Chris Martin: Yeah. I mean, this this is the excuse me. This is the benefit of our, you know, district pathway. We have amazing specialty pharmacy partners like DirectRx and CVS and CenterWell and Acaria that have individualized processes to ensure that a patient can refill their prescription in a timely manner. Each of them will reach out individually to the patient early in the in the process to encourage or talk to them about refilling their medication. And it's a very, I would say, a very organized and systematic approach to ensuring patients stay on therapy. They also have the opportunity in these situations to be able to talk and ask questions to the pharmacy about what's going on. And I think that encourages our patients to stay on therapy and see the value of O2VARE within their lives. One of the things that I think is very encouraging early on is as Dave mentioned is this early persistency or refill data that we're seeing. Again, little bit too early to say, you know, it's it's different than the initial six month assess our forecast, but I think we believe there's a significant upside there a potential upside there. But one of the things that is also encouraging is the feedback that we're getting from patients across the spectrum spectrum to specialty pharmacies, to the doctors, really highlights how O2VARE long term is gonna be very beneficial for for the patient.
David Zaccardelli: And and with regards to side effects, as as you know, we are, you know, subject and and have an active pharmacovigilance program as all commercial drugs do, and obligated to make sure we capture side effects, reported side effects, on a commercial level, and that program, of course, is in place. I would say there's nothing that we have determined to be inconsistent with the label. And so I think it's, of course, you know, fairly early in the process at at this time. Know, I I would say our our side effect profile is consistent with the labeling.
Boobalan Pachaiyappan: Thank you very much.
Operator: Thank you. As a reminder, if you wish to ask a question, please press star one. This concludes our question and answer session. I would like to turn the conference back over to David Zaccardelli for any closing remarks.
David Zaccardelli: Well, thank you everyone for joining us this morning. And, of course, we look forward to seeing all of you at upcoming conferences. As we continue to progress through 2025. As you can see, we're we're very excited about the impact of O2VARE in helping patients with COPD. And we'll continue to execute that both in the US and as we continue globally as well. So look forward to keeping everyone updated as we progress, and hope you have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.